Operator: Good afternoon. My name is Emma, and I will be your conference operator today. At this time, I would like to welcome everyone to The Cheesecake Factory Second Quarter 2022 Earnings Conference Call. All lines have been placed on mute to prevent any background noise. After the speakers' remarks, there will be a question-and-answer session.  Thank you. Etienne Marcus, Vice President of Finance and Investor Relations, you may begin your conference.
Etienne Marcus: Thank you, Emma. Good afternoon, and welcome to our second quarter fiscal 2022 earnings call. On the call with me today are David Overton, our Chairman and Chief Executive Officer; David Gordon, our President; and Matt Clark, our Executive Vice President and Chief Financial Officer. Before we begin, let me quickly remind you that during this call, items will be discussed that are not based on historical facts and are considered forward-looking statements within the meaning of the Private Securities Litigation Reform Act of 1995. Actual results could be materially different from those stated or implied in forward-looking statements as a result of the factors detailed in today's press release, which is available on our website at investors.thecheesecakefactory.com and in our filings with the Securities and Exchange Commission. All forward-looking statements made on this call speak only as of today's date and the Company undertakes no duty to update any forward-looking statements. In addition, during this conference call, we will be presenting results on an adjusted basis, which exclude impairment of assets and lease terminations and acquisition-related contingent consideration, compensation and amortization expense, an explanation of our use of non-GAAP financial measures and reconciliations to the most directly comparable GAAP measures appear in our press release on our website, as previously described. David Overton will begin today's call with some opening remarks, and David Gordon will provide an operational update. Matt will then review our second quarter results and provide a financial update. Following that weâll open the call for questions. With that, I'll turn the call over to David Overton.
David Overton: Thank you, Etienne. We were pleased with our overall sales performance with second quarter sales, finishing within our expected range, despite an increase in COVID-19 cases and consumer headwinds. Comparable sales at The Cheesecake Factory restaurants increased 4.7% in the second quarter of 2022, relative to the second quarter of 2021 and 13.1% versus the second quarter 2019. And once again outperformed the broader casual dining industry. Our restaurants remain extremely busy with annualized unit volumes at The Cheesecake Factory restaurants reaching $12.3 million for the quarter. These industry-leading volumes demonstrate at The Cheesecake Factory continues to be one of the most differentiated casual dining concepts. Our unwavering focus on menu innovation, service, hospitality and operational excellence, enable us to maintain broad demographic appeal and relevance. On Saturday, we are launching our newest flavor of Cheesecake, Classic Basque Cheesecake, a unique, crustless cheesecake with a burnt top and an ultra-creamy, custard-like center. The Cheesecake Factoryâs version is a classic recipe, covered with fresh berries and whipped cream. In addition, our new summer menu rollout began this week, as we lean into one of our key competitive differentiators, our distinctive menu to drive incremental sales. Turning to development. All of the sites, we have been working on remain active in our pipeline. However, opening dates continue to be affected by supply chain challenges and permit approval delays. As such, we now expect to open as many as 15 new restaurants in fiscal year 2022, including four Cheesecake Factory restaurants, for North Italiaâs and seven other FRC restaurants, including three Flower Child locations. We also currently expect one Cheesecake Factory restaurants to open internationally under a licensing agreement. Despite, these timing challenges, which are out of our control, we remain on track to achieve our annual unit growth goal of 7% next year. As I stated on our last earnings call, I recognize that the environment is dynamic and we continue to face substantial challenges marked by high commodity inflation, a tight labor market and further supply chain disruptions. Despite, headwinds we remain committed to protecting our four-wall margins over time. And we will adjust pricing to support this objective. To that point, we are in the process of implementing a 4.25 price increase with our summer menu change and we will continue to closely monitor the inflationary environment to determine what level of additional pricing may be needed. With that, I'll turn now turn the call over to David Gordon.
David Gordon: Thank you, David. Our solid sales results for the quarter highlights our best-in-class operators, proven capability to execute effectively and to capture incremental sales. Operationally, our teams manage their restaurants well, exceeded our expectations across key performance indicators, including food efficiency and labor productivity. Our ability to adequately staffed restaurants has been imperative to our operational execution and to capturing those incremental sales. While we continue to encounter some pockets of staffing challenges, our overall staffing levels continue to improve throughout the quarter. Specifically June hourly applicant flow increased to record levels well above pre-pandemic totals, contributing to the highest number of hourly new hires in any single month so far this year. Combined with improvement in our industry-leading retention we now have 3% higher hourly staffing and pre-pandemic levels. And as of July hourly staffing needs are at record lows. We believe our staffing success is a key contributor to the sequential improvement of our dining guest satisfaction scores. Industry research continues to confirm the importance of service to the guest experience and overall restaurant performance. The Cheesecake Factory off-premise channel trend remains solid. With second quarter sales accounting for 20% of total sales and the annualized second quarter average weekly sales for this channel continue to trend close to twice the 2019 annual levels. Now turning to North Italia. Second quarter comparable sales grew 12% versus 2021 and 22% versus 2019 with improvements and all day parts in all geographies. Annualized unit volumes for North Italia mature locations averaged over $9 million for the quarter. Despite, the impact of high inflation second quarter four-wall margin improved to 16.4% for the adjusted mature locations. For the total brand four-wall margin is near 13% as we made progress towards our goal as our pricing strategy is effectively one quarter ahead of The Cheesecake Factoryâs. FRC drove similarly strong topline and profitability performance during the second quarter. In additionally two weeks ago FRC opened the first brick and mortar location of Fly Bye their newest fast casual dining concept offering Detroit enhanced stretch style pizza and crispy chicken. Fly Bye started as a pop up ghost kitchen inside one of the existing FRC culinary dropout locations during their early stages of the pandemic. Sales for the first two weeks are exceeding our expectations. And FRC is plenty to open one more Fly Bye later this year. Both locations that are currently open or in the Phoenix market. We continue to believe differentiated concepts and emerging brands FRC develops. We'll drive meaningful growth moving forward. And with that I will now turn the call over to Matt for our financial review.
Matthew Clark: Thank you, David. During the second quarter along with the broader restaurant industry we faced substantially higher inflationary headwinds then we had initially anticipated. Specifically, commodity inflation was 200 basis points higher, primarily driven by spot pricing in the dairy and produce categories. In addition, hourly wage inflation, utilities and restaurant repairs and maintenance were higher-than-expected. These combined costs totaled approximately $13 million or $0.24 of EPS in the quarter. And account for the majority of the variance to expectations. Turning to some specific details around the quarter. Second quarter comparable sales at The Cheesecake Factory restaurants increased 4.7% year-over-year. Revenue contribution from North Italia and FRC totaled $146.5 million. North Italia comparable sales increased 12% year-over-year. Sales per operating week at FRC, including Flower Child were approximately $116,000 and including $14.2 million in external bakery sales, total revenues were $832.6 million during the second quarter of fiscal 2022. Now moving to expenses. Cost of sales increased by 250 basis points, primarily driven by significantly higher commodity inflation and menu pricing. Labour increased 90 basis points, predominantly driven by higher wages, compared to the prior year period. Other operating expenses increased 40 basis points, primarily driven by higher utility costs, which are mostly inflation related and lapping lower general insurance claim activity. G&A as a percentage of sales declined 30 basis points, primarily due to a lower bonus accrual. And preopening costs were $2.9 million in the quarter, compared to $2.8 million in the prior year period. We opened two restaurants during the second quarter versus three openings in the second quarter last year. And finally, in the second quarter, we reported an after-tax $0.8 million charge, primarily associated with FRC acquisition-related items. Second quarter GAAP diluted net income per common share was $0.50. Adjusted net income per share was $0.52. Now turning to our cash flow and balance sheet. The Company generated approximately $54 million of cash flow from operating activities during the second quarter. With ending total available liquidity of approximately $433 million, including a cash balance of about $195 million and over $238 million available on our revolving credit facility. Total debt outstanding remained at $475 million. CapEx totaled approximately $17 million during the second quarter for new unit development and maintenance and we completed approximately $11 million in share repurchases and returned just over $14 million to shareholders via our dividend during the quarter. While we will not be providing specific comparable sales and earnings guidance given the operating environment continues to be very dynamic. We will provide our updated thoughts on our underlying assumptions for the balance of 2022, including some timing nuances similar to last quarter. Based on our second quarter performance more recent trends and including the impact, the latest COVID-19 virus resurgence is having, we continue to anticipate total revenues for the year to be between approximately $3.32 billion to $3.37 billion. With Cheesecake Factory AUVs reaching $12 million. As a reminder, this includes the impact of the 53rd operating week in fiscal 2022. Taking a similar approach for the third quarter, we would anticipate total revenue to be between $785 million and $805 million. Next, for the year, we now expect commodity inflation of about 14% to 15% on an annual basis, which represents approximately a 200 basis point to 300 basis point increase over our prior outlook and is directionally in line with headline CPI increases we observed during the quarter. We are now modeling year-over-year commodities pressure to be around 1% higher than the annual average in the third quarter and around 1% lower than the annual average for the fourth quarter. The labor market also continues to be dynamic with many complex moving parts, inclusive of known minimum wage increases, we are modeling net total labor inflation of about 5% for the back half, when factoring latest trends in wage rates, channel mix, as well as other components of labor. Given the inflationary outlook for energy and services, we now expect other operating expenses to be in the low to mid-20% range for the third quarter and with the full benefit of pricing, we still anticipate ending the year at approximately 25% of sales in the fourth quarter. As David mentioned, we remain committed to protecting our longer-term four-wall margins. However, there remains measurable risk associated with cost fluctuations, driven by the current environment. Given the additional inflationary pressures we are experiencing, we are in the process of implementing about a 4.25% menu price increase, which as previously anticipated is measurably above our current level and is supportive of our margin objectives. The additional menu price increase we put the year-over-year pricing close to 7.5% once fully deployed. Keep in mind, the third quarter will only receive about half of the benefit of the incremental price based on the timing of our menu rollout. We now anticipate G&A for Q3 to be around $52 million and approximately $55 million to $56 million for the fourth quarter, which as a reminder, includes an extra week this year. Our preopening assumption remains unchanged at $18 million for the year to support our development plans, with approximately $6 million in the third quarter and $7 million in the fourth quarter. Finally, we expect about $91 million in depreciation for the full-year and for modeling purposes we're using a tax rate of 9% to 10% for the balance of the year. With regard to development, we plan to open as many as 15 new restaurants this year, with three currently plans to open in the third quarter. We would now anticipate approximately $140 million in CapEx to support this level of unit development, as well as required maintenance on our restaurants. Note that this includes some CapEx for locations that have shifted into 2023. In addition, keep in mind that we have reinstated our stock buyback program and have declared two dividends. In closing despite the many unprecedented challenges encountered during the first half of this year, we are still progressing towards our primary financial objectives for 2022. Specifically we may be starting to see some early signs that inflation has peaked, including the lowest level of year-over-year wage inflation so far this year. And a commodities outlook in which we are more booked now about 75% for the back half and that calls for approximately 250 basis points of declining inflation between now and the end of the year. If these trends continue coupled with our higher menu pricing we will still be on track to exit this year with four-wall margins at 2019 levels. In addition even including the impact of sales the latest virus resurgence appears to be having, not dissimilar to the earlier Omicron and Delta ways, the midpoint of our total annual sales outlook has remained unchanged from the beginning of the year at approximately $3.35 billion. Thus with the strength of our operations team, our brands and our balance sheet, we believe we remain well positioned to take market share and grow shareholder value over time. And with that said, operator, we'll now take questions.
Operator:  Your first question today comes from the line of Nicole Miller with Piper Sandler. Your line is now open.
Nicole Miller: Good afternoon, and thank you so much for the update. Clearly a lot, I guess you should call it outside of your control, so asking a question in the bucket of inside of your control. Can you talk about development, I mean, I was revisiting some past recession period and probably for different reasons at that time it was Cheesecake growth and it did slow in this case, now it's North Italia, that's really the growth engine. So how do we think about if things were to weaken what you want to do in terms of the growth opportunity in the short-term there, please.
Matthew Clark: Hi, Nicole. It's Matt. I'll just start kind of on a financial perspective. We have $195 million in the bank, we believe in the long-term unit economics of these brands. We are building on the margin improvements in all of them. And we believe that we're going to move forward with all of our development goals at this point in time. We've purposely kept the balance sheet remarkably strong and we really believe that if there is a downturn, it will be shorter and shallower and that there will be a lot of market opportunity to take, and then maybe that will be a good turning point. And so all of the sites that we have we continue to move forward with. And in aggregate, as we look at across the next couple of years, I don't think I've seen a time where we had more sites in total that we were moving forward with. So we really don't have any plans to pull back or see the need to do so at this point.
Nicole Miller: And then just can you remind us of the cohort, I guess, by income custled income profile? I'm thinking specifically at Cake, but if you have it for North Italia as well, of course, cross-sell brands were trying to understand a lower income versus higher income, user and then the frequency of those cohorts. Is there anything you could share on that, please?
Matthew Clark: Sure, Nicole. This is Matt again, I think the first thing is we definitely skew higher income, higher education, higher tech savvy, we're on average over $100,000 in income. Obviously, for particularly for Cheesecake Factory, all of the locations are in the best neighborhoods in the entire country. And so we're surrounded by the best neighborhoods, as well as usually business foot traffic. And so I think we're probably as insulated as anyone. And I would say the same actually for North and FRC, it shares a very similar cohort in that regard. We do get some special occasion guests, but what we've seen historically is those guests still want to come in for an anniversary or birthday regardless, right, because you still need to treat yourself even in a downtime. So I think that we are in a good position, and I'll just remind everybody, we still have tremendous value in the Cheesecake Factory menu too. We have items ranging from $5 or $6 to $30 and the large portions may get incredibly shareable. And so people can navigate with our menu, I think in a very different way. And certainly the last thing, because I think this question will come up too, what we have seen historically if there is a little bit of a dip is remind people that our number one competitor are the white table cloth independent mom-and-pops, and I think we probably will be able to take some market share, because weâre keeping so much value and the prices that those groups have had to take and their menu is substantially more than what we're taking. And so if anything, we're in a better competitive spot than before.
Nicole Miller: Thank you so much. Appreciate it.
Operator: Your next question comes from the line of Sharon Zackfia with William Blair. Your line is now open.
Sharon Zackfia: Hi, good afternoon. I guess just talking about the consumer demand perspective. I think you're the first call I've been on as mentioned the new variant impacting sales. So can you kind of provide some color on what you're seeing there? And if there's any regionality to that? And then secondarily, within the quarter itself, it seems like you may have seen kind of a greater slowdown if you will towards the back half of the quarter than some of us had expected? Do you think you are starting to see some fallout from lower income consumers? Is there anything you can look at from an average check perspective to see if there is fewer appetizers or fewer beverage attach? And then I guess lastly, just to kind of round all of this out, what are your thoughts right now on, kind of, price elasticity of demand as you go into this next price round?
Matthew Clark: Sure, Sharon. It's Matt, so I think I took enough notes to get to every point here. So if I -- no, no, I think they're all questions, right? And I think they're all very relevant and tied together. So the first thing I would say is we went back and we looked at the last 16-months or so of sales and there is a very high correlation that you can track to the movement of the virus. And when you see more cases, I mean, as I think it's been documented previously. But keep in mind one now, cases are probably undercounted by a factor of 10, if you read any of the medical journals, because everybody's testing at home. But when you see the cases move up, you see sales come down. And then when you see the cases go down, you see the sales go up probably higher than what is the sustainable level. We've seen this happen over time when it's like holidays get moved and people will go out on a holiday and then maybe they don't go out as much the next day or the next week. And it's kind of the same phenomenon. So we ran a regression against the trend by week over the last 16-months. What we see for our business is that we keep returning to 2019 plus pricing levels. So back when we had our last call, I think in April, we were running above that and we said that. We said we don't anticipate that we can continue to run 3% to 4% above that level, because that's just not what the trends are pointing to. And then the same thing I think happens on the downside when we've -- in the first quarter in January, we ran measurably below where we ended up, but it rebounded as we went through the quarter and people were able to get back out. So for example, in the quarter -- in the second quarter in June, we pretty much ran at 2019 plus pricing. We were right on our plan, right? And so I think it's just a matter of comparison one of those periods to the other period where it might be hot or might be not. And when we look at the trends, I think we're able to see those pockets that are moving up and down based on case counts, whether it's in California and here in LA County they're talking about going back on a mass mandate if you can believe it. And we can see that the sales performance both in the beginning when it starts to go down, but also when it starts to come back up. And so when we see a recession, we see much more broad-based, but even sort of smaller declines. And this has been much more regional pockets to kind of go up and down a little bit based on that. Well, we haven't seen is any trade down. The check averages remains right on the year-over-year trend, the attachments are all right on, deserts continue to be a big driver for us. I would imagine that would be true of our new Cheesecake. So I mean, I think that we feel like it reverts to the mean over time, depending on the scenario, and that's what we've seen happen at each of the last five quarters. I think with price elasticity as I mentioned in Nicoleâs question, we have so much flexibility in the menu that historically we were able to capture our price and guests can decide how much they're going to spend and they can share. The other thing importantly, we remain even as we remove to the 7.5% pricing that will put us about 1.5% below the full surface average in June, which guarantee will go higher based on everybody needing to catch up a little bit more. So I think competitively, we remain in a really good spot. And again, as I'll just reiterate, as we compete against the independents, who likely have even more inflation, because they don't have the scale of the Cheesecake Factory, I think we'll probably be even more competitive and be able to fully capture our pricing and keep those guest trends. It says that we see that 2019 plus pricing trend.
Sharon Zackfia: Okay. Thank you.
Operator: Your next question comes from the line of Jared Garber with Goldman Sachs. Your line is now open.
Jared Garber: Thank you for taking the question. Matt, I was wondering if you could just help frame for us the components of the comp just to make sure we have the price and the traffic mix? Understood for the Cheesecake Factory, I know that the traffic and the mix component separately are driving a little bit different just on the -- as the off premise business normalizes. But was hoping you could give us a little bit more color there just so we can understand maybe if there is some declines in traffic? And then I wanted to follow-up with some of the commentary from the last couple of quarters about a loyalty program or a CRM program that you guys have been working on and maybe where you are with that? And how that might help stem potential future traffic losses in an environment where consumer spending is decelerating?
Matthew Clark: Sure, Jared. This is Matt. I'll answer the first part and then hand it to David Gordon. It is a little bit of a funny math as you pointed out with the whole to go business and the way that we count it as one guest per transaction versus in restaurant, it's butts and seats. That being said, for the quarter, Cheesecake Factory pricing was 4.8% and then traffic was actually then reported as a positive 5.7% and the mix is a negative 5.7% there are direct wash out, because essentially our comp was equal to the pricing. I can tell you that we continue to get a little bit more on premise. So I mean, actually, it is true. We have greater traffic in Q2 of this year than we did last year. So I think that, that continues to happen. I think also when we've looked at some of the research, there's a good percentage and maybe a third of our last guest or more are still not even comfortable coming back in. So when we look at that gap and we talked about that being around 90%-ish give or take what point in time you're looking at it, of what the on premise traffic recovery has been. If you look at the gap, it's really the last guest that still may not be comfortable. So even as we've talked about the movement between on-premise and off-premise, so long as we track to that $12 million AUV, we're going to happy. We're agnostic and we just want to give great guest experiences. And so overall, we seem to still be tracking to the number that six months ago we laid out.
David Gordon: Hi, Jared. This is David Gordon. Just on the rewards program, we launched our pilot in mid-June. So we're about 30 days into the pilot thus far in the Houston market, which is comprised of five restaurants and our pilot objectives were really to measure our ability to train the program well, to make sure all of the technology was working effectively that guests could redeem in the methodology that we want them to have a great guest experience. And most importantly understand the enthusiasm for the program. And the good news there is that we have over 20,000 just in that Houston market, which exceeds our own expectations. And our plan is to continue to measure the data and the ROI of the program throughout the remainder of this year, whether we decide to do another small beta this year is still to be determined, but our plan would still be to move forward at some point next year with a full launch of the program that all continues to go well.
Jared Garber: Great. Thanks for the color.
Operator: Your next question comes from the line of Brian Bittner with Oppenheimer. Your line is now open.
Brian Bittner: Hey, good afternoon. Thanks for taking the question. Matt, I do just want to flush out the trends that you're seeing just given all the uncertainty we all have with where the consumer is headed and whether the consumer could or could not pull back. Since your disclosure on April trends, there was a pretty marketed slowdown in comps and your revenue came in at the very low end for 2Q of what you expected. And your third quarter revenue guide I think implies trends do continue to slow from the second quarter. You can confirm that if you'd like. But the question is, are you saying that this is simply just a reversion to the mean and perhaps a return to normal seasonality as well maybe and you just simply do not believe anything you're seeing in your business relates to more softness economically?
Matthew Clark: Brian, it's Matt. I mean, first of all, who knows what really I mean that's why you're asking the question. That's what everybody asks the trillion dollar question is what's the consumer going to do and how are they behaving, I don't know that it's any scarier out there today than it was in March when the war was announced or when gas prices reach to all time high in April. I mean, I mean certainly those indicators have actually only gotten better over time. The job market remains two job openings for every one person looking. Anybody that wants to work can get a job. So and we're seeing that, that lower income cohort is coming back to work based on our -- so there's other ways that the money will potentially move around to support the economy. I think for us a couple of things, we do believe that if you track over the last five quarters that it reverts to the mean. I mean there have been periods of time that are well documented that last December and January were significantly smaller than casual dining. I would say down double digits for most people, but then it recovered remarkably and just has moved around based on a lot of these factors. We look back at probably the only good comparison that people might be thinking about for our size of company and the timing, which was the great financial recession or catastrophe or whatever it stands for. And when we saw the data, when we looked at that data, the trends there were much more moderated over time and broad-based across all of our restaurants, you could see a pretty linear movement negative 1% to negative 2% to negative 3%, 10% negative, 20%. But not these pockets that we're seeing today that don't seem to indicate when you have a geography that is still running the same level that it was running three months ago, that wouldn't tell me that's economics, that just tells me there's another factor in play, right? In other words, you'd see it in every state of the country. That being said, there could be a little bit of a slowdown. I mean, I think the media has fueled that tremendously. And the scare factor alone probably is what is creating as much as anything else. Our guide for the third quarter factors in that we are a couple of points below where we were in June and we believe most of that is due to the virus moving through different parts of the geography. The latest week we had is better than the weeks we had before that. So we're actually seeing it come back up already. And so that's what tells me it's not so much the consumer pulling back. But when I see the latest week better than two weeks ago, well, that doesn't indicate a downward trend. But our net guide for the quarter is a couple of points down, but to accommodate kind of that starting point. But if you think about it again, it will just go back to our perspective. The full-year revenue guide hasn't changed from us, right? And so I think that just points to how we think about it right now.
Brian Bittner: No, that's super helpful. Thanks for that. And just second question is, as you exit 2022 with four-wall margins that matched 2019, which is kind of where you're leading us. If that does indeed occur, I guess, are you saying that 2023 EBIT margins would be positioned to nicely exceed 2019 EBIT margins? Is that kind of where you're going with this?
Matthew Clark: That's been our objective from the get go. If we can get the four-wall margins back to 2019 levels, you can see the math. I mean, G&A is better and depreciation is better. And so the net enterprise EBIT margin should be measurably better. And as we noted in the prepared remarks, if the commodity inflation doesn't get worse again, and if the labor stays on track to where we've seen it today, we believe that we can accomplish that. As David Overton mentioned, we will continue to note inflation and if we have to, we'll keep up. We have, I will say, is really important -- we have kind of like the Fed, we have a dual mandate, we want to grow market share and we want to protect four-wall margins. Sometimes those are at odds with each other and it's like threading the needle. And I think that's what we're trying to accomplish.
Brian Bittner: Thank you, Matt.
Matthew Clark: You're welcome.
Operator: Your next question comes from the line of Jeffrey Bernstein with Barclays. Your line is now open.
Jeffrey Bernstein: Great. Thank you very much. First question just following up on the last one. Just because I think you did just benchmark your third quarter comp assumption relative to June. If you can maybe just share what the comp trends were by month through the second quarter? And what they were running in July just to frame the trend you saw through the second quarter and what you're assuming for the third quarter?
Matthew Clark: Yes. So I don't remember April. If we could go back and check that, but we -- in June, Jeff, we're basically thinking about 2019 plus pricing, we were kind of right on our plan, which is sort of that reversion to mean. And then in July, we're running a few points below that at this point. And our assumption for the third quarter is that we get back a little bit. We've seen the trend improve recently and that we would move back to being close to that level essentially by the end of the quarter. So it's a little bit of a u shape.
Jeffrey Bernstein: Got it. Okay. And then just to clarify, I know you said you're taking 4.25 points maybe with the summer menu and that would get you to 7.5% ultimately, but I guess consider further increases, I'm just wondering -- or wondered if you could just share what you think the pricing will be in the third and fourth quarter. But I know you mentioned managing the business for the long-term. I get the sense that means we're not in a rush to necessarily fully offset all the inflation that wouldn't necessarily be right for the business long-term. So how do you think about how much of the inflation you want to offset in that framework of again managing the business for the long-term?
Matthew Clark: Yes. Jeff, it's a good question. So I may have  check my math on this. So just I just want to clarify, the fourth quarter pricing will be 7.5%. The third quarter pricing will be around 6% on a weighted basis, because of when the menu rolls out, kind of, itâs got in the middle, okay? So 6% in the third quarter, and 7.5% in the fourth quarter. And our intention is that we're going to fully price for all of inflation, we think our business model is right on all of the other factors, productivity, et cetera, the guest demand obviously is there. And so we're executing the business model, so when you have input costs that are the sole reason that margins are being pressured, itâs logical to pass that pricing on in an environment where we're still below full service dining well below grocery. So we still have room to make that happen. And I would say keep in mind too from sort of a strategic perspective, we may be a little bit behind, but that's kind of traditionally our way we're more of a fast follower. You can see the progress in the North Italia margins they're about one quarter ahead of Cheesecake on the pricing. And as we noted, the goal for that brand was about 14% for the year to get to by the end of the year, because it's going to be a couple of points behind Cheesecake, because of the growth. So it's getting pretty close and so it's working. We believe the pricing for Cheesecake will work. And we are pricing to these costs, if we see some degree of give back if natural gas can revert back to at least somewhere between an all time high which is where it's at and where it was. If some of the commodities stabilize, if our overtime gets better, because we remain fully staffed, then we have some room to grow on top of that.
Jeffrey Bernstein: Understood. And just lastly, I know you mentioned you're pretty well positioned with a higher income consumer and then pretty more affluent neighborhoods, I guess. But the fact that you're heavily mall based, is there any change or the malls impacted any differently than just the broader well-to-do neighborhoods? I mean, I guess, from a mall traffic perspective, are they back to pre-COVID levels or our occupancy levels of the malls back to full strength just so that being within the mall, within those well-to-do neighborhoods, I don't know if you're any better or worse off than anybody else in that neighborhood? Thank you.
David Gordon: Jeff, this is David Gordon. I don't know that we've seen any market change from mall-based locations versus the rest of our locations. They remain consistent and strong. The tenancy in the malls remains consistent. We haven't seen any drop off in actually retailers as far as occupancy goes and traffic has remained really strong and consistent.
Jeffrey Bernstein: That's great clarity, if right no big difference between your mall stores and your non-mall stores that would wipe that question out. Thank you very much.
David Gordon: Yes.
Operator: Your next question comes from the line of John Glass with Morgan Stanley. Your line is now open.
John Glass: Thanks very much. Recognizing you may not think you're there yet, but if the consumer continues to slow, what are the contingency plans? I remember from  if this is the correct timing, small plates or small bites was introduced, I think that was pretty successful. That may still be around forgive me for not knowing that maybe that gets refreshed. How do you think about responding, understanding there's uncertainty out there? And you must have a plan, if you need it is? What might that look like this time around?
Matthew Clark: Hey, John, it's Matt. I think it's definitely a relevant point and rest assured that the management team is constantly evaluating our strategic responses to the environments. I think just to remind everybody that we came out of that recession with better margins and better sales than we went in. And I think the key, obviously, there's two sides of the coin, one is to ensure that you have value and you remain relevant, and we are able to put out menu items on a special card at different price points, whenever David wants to do that. And so we'll watch the environment and certainly that's an easy thing for us to deploy again if that's what we wanted to do. As David Gordon talked about earlier, we're in the midst of piloting a rewards program. That would certainly be a new vehicle for us to be able to deploy that type of activity very surgically, if we wanted to. And the third thing I would say on the value side is we were very successful during the pandemic running promotions when we never done that before. And so it is something where we built up a little bit more muscle. And if that were the case, we certainly could pull that as well. So I think we're going to have more at our disposal than we did before. We have more learnings than we did before and the ability to reach specific guests. So I feel confident that we can respond there. On the margin side, the key is that most expenses in the restaurant space are variable over time. And so it's the degree and the speed at which you can recover the variability of those margins, right? So even with rents, for example that we're on percentage rents in every case, and so it's going to move with sales. There are some moderately fixed components over the medium term. But the most important thing from an operation standpoint is to get alignment around that variability in to recapture that margin. So if we're shooting for 2019 margins, that would be our goal. Now it depends on how deep and how long any pullback is. But our goal would be to maintain that same level of margin over the medium term.
John Glass: Got it. Thank you very much.
David Gordon: John, itâs David Gordon. Sorry, I would just add operationally that a good portion of our operations team, especially the field leadership team, experience the 2008, 2009, 2010 recession, they're very nimble. We have best in class retention. So our operators, if we ever were at a point where we need to make any structural changes to how we were operating, are the best in the business. And we'll be able to flex appropriately if we ever got to that point in time.
John Glass: Thank you.
Operator: Your next question comes from the line of Brian Vaccaro with Raymond James. Your line is now open.
Brian Vaccaro: Hi, thanks and good evening. It sounds like some of the sales decline or moderation you're seeing, you're attributing it to reemerging COVID concerns. I guess looking across regions, are there certain regions where that's less of an issue? And if so, are you seeing any changes in behavior or ordering patterns et cetera., when customers are in your restaurant? And then also within the off premise channel, can you comment on how delivery versus takeout is performing?
Matthew Clark: Sure, Brian. This is Matt. For example, we saw a sort of initially more pressure in Southern California in the Northeast. And that is where the greatest number of reported cases have been. We've seen less impact initially in places like Florida and Texas. Now it moves around, I was just looking at another geography and noted that we had seen this past week a little bit of pressure. And sure enough, I googled it in the news and this particular city, the headline in the local paper was the summer surge is back and they were talking about a whole bunch of cases. So we can -- we could almost be like a sounding board for the CDC. You can track it, I mean, itâs people canât go into restaurants when they're sick or they're home taking care of people. We saw statistic that there are twice as many people out of work now than at the Omicron surge back in the holidays is like 4 million people, right? So that's pretty meaningful. In those areas where it's been more stable, we haven't seen any change really in the behavior of the guests with respect to check average et cetera. So that gives us a lot of confidence that nobody's trading down at least in our restaurants. It's really about purely foot traffic at this point in time in those geographies.
David Gordon: And the off premise mix of that 25% remains very, very consistent and delivery comprises 11% phone and lockup is 8% and online ordering is 6%. So almost right in line with the previous couple of quarters.
Brian Vaccaro: All right, great. That's helpful. And then I think on the labor front, I think you said you expect net wage inflation of around 5% in the second half. Can you remind us how does that compare to the wage inflation you've experienced in the second quarter or the first half?
Matthew Clark: Yes, we went into the year thinking it would be about 5%, it bumped up to around 6% to 7% for the first half of the year. So the 5% would represent an improvement of about 1% to 2% net in the back half. And as we noted, we have seen the year-over-year wage inflation moderate. And so looking at that trend and all of the other components combined.
Brian Vaccaro: Okay. And then I think, Matt, over time and outsized training and other costs has been a pretty significant headwind for you. Are those costs starting to ease more recently? And I guess if not, why? And when do you expect some normalization in those areas?
Matthew Clark: Yes. I mean, I would tell you it kind of comes in waves still. I mean, no pun intended with the virus, but when we hit March and April and even in May, as business really took off again coming out of the winter, we had to hire a lot of people, so you're running ads to hire people and you're training people and then youâve newer people and you have higher over time. So what we've seen is that in an environment where the labor side is a little bit more stable, which maybe you will get to in this most recent stage, because our staffing levels are at a better point and everybody knows that back-to-school with casual dining, the aggregate sales level dip, that's a pretty known seasonal pattern that we might just see some of those Brian ease in the late third and fourth quarter.
Brian Vaccaro: All right. Thank you. I'll pass it along.
Operator: Your next question comes from the line of Jon Tower with Citi. Your line is now open.
Jon Tower: Great. A few follow ups and I was hoping to run through here. Just hitting on the COVID flare up stuff, you had mentioned that certain markets obviously it's showing up, but you didn't call out whether or not that's actually impacting your own staffing levels at the stores? So I'm curious if that is the case and then I've got a few more questions, if you don't mind.
Matthew Clark: Yes. Hey Jon, this is Matt. There's no question, I don't know that we have -- I could give you a specific number, but what I can tell you is that our 6 time is running well above what we anticipated it would, right? And there's only one real driver of that. We also on our operations leadership calls, I can tell you anecdotally, it's one story after another as it kind of moves through a market and you'll talk about our restaurants and all these three managers and each staff members called in this week. And so we are definitely seeing that. Fortunately, we're able to be in a slightly better spot to buffer it, but we are seeing that move through the restaurants too.
Jon Tower: Okay. And then just kind of following up I think that John's question earlier in terms of your ability to respond to changes in the marketplace with calls to action. I mean, I think Matt you had mentioned earlier in the call you're seeing scenarios where cases move up sales seem to go down. So how do you fight this going forward? I mean, you do have a much bigger media presence, social media presence done in the past and you have utilized promotions in the past, I think coming out of COVID to drive some traffic. So how quickly can you respond? And are you doing any of that yet?
Matthew Clark: Well, I'll tell you there's a couple of things. One, we just completed some consumer research and so we'll be digesting that to understand a little bit more about how consumers are behaving and what they're thinking and particularly around our brands. So we felt the timing was good to get back out and understand, because, right it's sort of a new paradigm with people. So I think we'll learn a little bit more about what we think would be effective. I think in aggregate, it's about understanding the trends in the individual markets and adjusting operationally to them, because at the end of the day, if we hit the $12 million AUV, which we're still believing we're on track to do, the volumes are there, whether it moves up or down 2% or 3% in any given month, that's really not going to dictate a big change in strategy for us other than potentially operationally, right? We need to get the margins. So if that causes us to be more or less efficient, we have to learn and we have to adjust to that. But in aggregate, if we continue to trend as we believe we are, to the 2019 plus pricing levels, then I think that the volumes are there. We just have to navigate around the ups and downs a little bit.
David Gordon: Jon, I would just add, this is David, on the promotions front that we meet on a weekly basis and look at the status of where we're at and we can pull the lever on a promotion within two weeks. Whether that's something that we want to do off premise, DoorDash only or something for online ordering, so I think all of our learnings as Matt talked about earlier from the pandemic and the flexibility of our current playbook versus what we had prior to the pandemic puts us in a pretty strong place to be able to react pretty quickly to whatever fluctuations we see.
Jon Tower: And then just lastly, I think, you know, you just hit on DoorDash. I believe you still have a fairly exclusive relationship with them and I believe the economics are pretty favorable to you. But given how other brands,  (ph) in particular or 3PD brands have grown, have you explored the potential to move on to other platforms and/or considered taking even more price in the delivery channel. I think today you said itâs something like 3% or so differential between in-store menus and delivery menus, but competitors are much higher than that. So I'm curious why you wouldn't -- or if you've considered taking pricing there?
David Gordon: Certainly, as we continue to take pricing on the menu, it's also a conversation we have around our competitive advantage for delivery. And if we feel like we can hit the margin targets that were set out for in the sales without taking more than that 3% that's what we would prefer to do. If we find that we need to take more than that 3% differential to a differential to protect margins, we'll certainly discuss that and have the ability to do it moving forward if we wanted to. As far as the relationship with DoorDash, we do have an exclusive agreement and we're still very happy with that agreement. Some of the marketing and our ability to pull the lever on that marketing as quickly as we like is because of that relationship and their nimbleness and working with us to get promotions launched and then communicate it out to the consumer. So we're still very happy as you said, the economics are very favorable for us and we like the relationship and our continued plan is to stay down that path for now.
Jon Tower: All right. I will pass it along. Thank you.
Operator: Your next question comes from the line of Andy Barish with Jefferies. Your line is now open.
Andy Barish: Hey, guys. I hopped on a little late, but I heard David G's comments just on food and labor efficiency, yet obviously some of the margin shortfall. Can you just kind of match that up? And is there something additional that could be worked on from a productivity perspective or was it just the input costs higher-than-expected with less pricing?
Matthew Clark: Andy itâs Matt, it was 100% related to the input costs versus the pricing. So the spot market and dairy and produce, kind of, went through the roof and natural gas and particularly some of the R&M services, the supply and demand imbalance is so significant right now to get someone to come out and take care of the equipment, it's just costing that much more than what we had.
Andy Barish: Got you. And then just following up on the logic beyond callouts and the virus surges. Last year obviously around this time, delta was surging, which did cause some sales issues and increased callouts with less staffing. How are you kind of baking the comparison into the projection here? I know there's a lot of noise obviously from the last couple of years, but just thoughts on that?
Matthew Clark: Yes. I mean, I think that's why, Andy, it's a Matt. So it's been a sort of back and forth to-date over the past six to nine months of that benchmark. What we have really seen mathematically now is that 2019 is the best benchmark and then adding the pricing to that. And so using that sort of eliminates the up and down last year and this year in those comparisons, because you're exactly right. I mean, what we saw last year and some of the lapping, if you think about just purely the year-over-year comp is that June and July were probably the highest months of the year. And they were kind of through the roof and then Delta hit and it came back it probably dropped from the peak of early July to the trough of late August. It probably declined 5% or 6%, just in that period of time. And so we see that that is the established, kind of, trend of how it goes through. And so that we're really looking at sort of 2019 plus pricing as being the best way to evaluate it.
Andy Barish: Okay. Thanks for the color.
Operator: Your last question today comes from the line of Brian Mullan with Deutsche Bank. Your line is now open.
Brian Mullan: Hey, thanks. Just a question on capital allocation, just wondering if you could speak to the current parameters you're looking at when executing on the share repurchase program? Anything is different versus perhaps the pre-COVID philosophy. Just wondering if you want to be opportunistic when you think of the stocks undervalued or maybe just more programmatic and consistent?
Matthew Clark: Hey Brian, it's Matt. I mean, I think it's both right. I mean, I think we're sort of putting our toe in, but we also believe it's a very opportunistic time to do it with where equities have traded based on our conviction in the long-term for the brand. And so it's -- I would say we have a typical type of  (ph) that we put in place and it's going to perform where you buy more when the stock is lower. But also that we do it a little bit over time, because we can't figure out the market, right? That's not our jobs. And so we don't want to be in one month and out to next month, we want to be able to sort of build it over time. But certainly, we're buyers in this market.
Brian Mullan: Okay, thanks. And then just as a follow-up, wonder if you could just give an update on the Flower Child brand, the key priorities there over say the next year or two? What factors are you watching most closely or looking at to see before you might want to accelerate the unit growth there? Or maybe separate it out like you have for North Italia?
David Gordon: Hi, Brian. This is David. We continue to be very bullish on Flower Child, the recent openings continue to perform well, I'd say that that's our priority is to continue to move into some newer markets and see what the guest reception is in different geographies and thus parts remain very positive. The team there has done a good job moving their margins in the right direction. We're focused on trying to leverage continued supply chain capability at Cheesecake Factory. And then on the people growth development side, we want to ensure that we have the right leadership in place if and when we decide to pull that lever and grow it a little bit quicker clip. But all signs for now remain very positive and we feel good about the future of the brand.
Brian Mullan: Thank you.
Operator: Thank you. This concludes today's question-and-answer session and conference call. Thank you very much for attending. You may now disconnect.